Operator: Good afternoon, and welcome to Red Rock Resorts' First Quarter 2024 Conference Call. [Operator Instructions]. Note, this event is being recorded. I would now like to turn the conference over to Stephen Cootey, Executive Vice President, Chief Financial Officer and Treasurer of Red Rock Resorts. Please go ahead. 
Stephen Cootey: Thank you, operator, and good afternoon, everyone. Thank you for joining us today for Red Rock Resorts First Quarter 2024 Earnings Conference Call. Joining me on the call today are Frank Lorenzo Fertitta, Scott Kreger in our executive management team.   I'd like to remind everyone that our call today will include forward-looking statements under the safe harbor provisions of the United States federal securities laws. Developments and results may differ from those projected. During this call, we will also discuss non-GAAP financial measures. For definitions and complete reconciliation of these figures to GAAP, please refer to the financial tables in our earnings press release, Form 8-K and investor deck, which were filed this afternoon prior to the call. Also, please note this call is being recorded.   Let's start off by stating that the first quarter represented another strong quarter for the company by any measure. In terms of net revenue and adjusted EBITDA, our Las Vegas operations had its best first quarter in our history. And in terms of adjusted EBITDA margin, our Las Vegas operations experienced near record adjusted EBITDA margin.   In addition to showing strong financial results in the quarter, we continue to be pleased with the customer feedback and the financial performance of our Durango Casino Resort. While we are still in early days, the team at Durango continues to execute and improve the property's operational performance, while at the same time, driving incremental play from our existing customers and attracting new customers to our brand.   In past earnings calls, we have stated that we believe Durango will be one of our highest margin properties over the medium to long term and will generate a return consistent with or in excess of our prior greenfield developments. With one full quarter under our belt, we are confident that Durango is well on its way to achieving both its margin target and to return goal even faster than originally planned.   That said, and as stated in the past earnings calls, we expect to experience and we have experienced cannibalization, primarily at our Red Rock property due to the Durango opening, but this has been largely in line with our expectations.   Consistent with our past performance history, we expect to backfill this revenue given the strong long-term demographic growth profile of the Las Vegas Valley and the proximity of our properties to those high-growth areas with the Valley.   With regard to the rest of the portfolio, we continue to execute on our core strategy of reinvesting in our existing properties to deliver fresh and relevant amenities to our guests, all are remaining focused on best-in-class customer service. Despite this disruption, we experienced a Palace Station from the roadwork that significantly impacted the ingress and egress of the property and the significant disruption we experienced at Sunset Station from a major renovation upgrading the racing sports book in the casino, the team delivered another strong quarter across all business lines with this quarter marking the 15th consecutive quarter of the Las Vegas operations delivered adjusted EBITDA margins in excess of 45%.   Now let's take a look at our first quarter. With respect to our Las Vegas operations, our first quarter net revenue was $485.6 million, up 12.9% from the prior year's first quarter. Our adjusted EBITDA was $229.8 million, up 7.3% from the prior year's first quarter. Our adjusted EBITDA margin was 47.3%, a decrease of 247 basis points from the prior year's first quarter.   On a consolidated basis, our first quarter net revenue was $488.9 million, up 12.7% from the prior year's first quarter. Our adjusted EBITDA was $209.1 million, up 7.7% from the prior year's first quarter. Our adjusted EBITDA margin was 42.8% for the quarter, a decrease of 200 basis points from the prior year's first quarter.   In the quarter, we converted 64% of our adjusted EBITDA to operating free cash flow, generating $128.6 million or $1.22 per share. This significant level of free cash flow was either reinvested in our long-term growth strategy, including our Durango project, reinvested in our existing properties or return to our stakeholders via debt paydown and dividends.   As we begin 2024, we remain operationally disciplined and focused on our core local guests as well as continue to grow our regional and national segments. When comparing our results to last year's first quarter, we continue to see upside from the strong visitation and play in our local, regional and national segments. This strength, coupled with strong spend per visit across the majority of our carded play allowed us to enjoy near record first quarter revenue and profitability across our gaming segments despite both the Super Bowl and the NCAA termit not being so kind to us in the quarter.   Turning to the nongaming segments. Both hotel and food and beverage continue to grow year-over-year and deliver record revenue and profitability in the first quarter. Our record division experienced its highest quarterly revenue and profit in our history, driven by our team's success and continuing to drive higher occupancy and ADR across our hotel portfolio.   Not to be outdone, our Food & Beverage division also experienced its highest ever quarterly revenue and profit, driven by higher average check and cover counts across our food and beverage outlets as well as continued growth in our catering business within the quarter.   With regard to our group sales business, this -- we continue to grow this segment within the quarter, driven by growth in both room nights and ADR as we continue to work to grow our pipeline in 2024 and beyond. While both our group sales and catering revenues grew in the first quarter, as we mentioned on our prior call, we expect tougher comparables in both these business lines for the remainder of 2024, driven mainly by COVID sales that were postponed and booked into 2023.   As we look ahead, we are seeing stability in the locals market and across our entire database and remain confident in our business prospects moving forward, but we will continue to face disruption in our Palace Station and Sunset Station properties for the majority of the second quarter.   On the expansion labor side, we remain operationally disciplined and continue to look for ways to become more efficient while continuing to provide best-in-class customer service to our guests and remain the employer of choice in the Las Vegas Valley.   Within the quarter, the company continued to manage our expenses, generate record financial performance, near record margins, reinvest in our properties and return capital to our shareholders. Our results demonstrate the resilience of our business model, the sustainability of our operating margins and the ability of our management team to execute on our long-term growth strategy while taking a balanced approach to returning capital to our shareholders.   Now let's cover a few balance sheet and capital items. The company's cash and cash equivalents at the end of the first quarter was $129.7 million, and the total principal amount of debt outstanding was $3.5 billion, resulting in net debt of $3.4 billion. At the end of the first quarter, the company's net debt-to-EBITDA ratio was 4.4x.   As we stated on previous earnings calls, our leverage has peaked and is now beginning to ramp down as we look to delever to our long-term net leverage target of 3x.   During the quarter, the company completed 2 refinancing transactions. The first transaction involved a $500 million offering of senior notes due 2032 at an interest rate of 6.5% per annum. The proceeds of this offering were used to pay down a portion of our revolving credit facility as well as our term loan A credit facility.   The second transaction involves an amendment to our senior secured credit facilities pursuant to which various lenders will provide a revolving credit facility of $1.1 billion maturing in 2029, bearing interest at 1.5% over SOFR and a term loan B credit facility at $1.57 billion maturing in 2031, bearing interest at 2.25% over SOFR. The Agri proceeds of this amendment were used to refinance our revolving credit facility and term loans outstanding under our existing credit agreement. These refinancings increased our financial flexibility by strengthening our balance sheet, extending our debt maturities and modestly decreasing our interest expense.   In May, our Board authorized an extension to our existing share repurchase program to December 31, 2025. The program has $313 million remaining available for future purchases. As a reminder, since we began purchasing shares either through our share repurchase program or the 2021 tender, we have purchased approximately 14.2 million Class A shares at an average price of $45.29 per share, reducing our share count to approximately 105.6 million shares.   Capital spend in the first quarter was $98.1 million, which includes approximately $77.3 million in investment capital, inclusive of Durango Project Rotanage as well as $20.8 million in maintenance capital. For the full year 2024, not including the spend to close out our Durango project, we still expect capital spend to be between $140 million and $180 million spread between maintenance and investment capital.   During the quarter, we remain committed to strategically investing in offering new amenities to our guests at our existing locations in order to drive incremental visitation and spend to our properties. During the quarter, we successfully opened a new high-limit slot room and Blue Ribbon Sushi Bar and Grill, our Green Valley Ranch property and opened a federal donut chicken restaurant as well as remodeled the Sandbar Grill, which is our pool bar and outside Eatery in our Red Rock property.   We are pleased with the guest response and the early results from these new amenities. We expect to continue to invest in our existing properties throughout 2024, including adding additional restaurant offerings at our Green Valley Ranch and Palace Station properties as well as an upgraded race and sports book and a partial casino remodel plus a new Yardhouse restaurant at our Sunset Station property.   Like our other recently introduced amenities, we expect these to be solid investments over the medium to long term, and I look forward to moving beyond the challenges created by construction disruption at these properties as we introduce these new amenities to our customers later this year.   Turning now to North Fork. As we mentioned on our February call, our management agreement with the Tribe was approved by the Chairman of the National Indian Gaming Commission in early January with clearing the last hurdle to the development of this project, which will be located on the Tribes 305 acre parcel of trust land. The site is located north of Fresno, California and offers convenient, ingress and egress and excellent visibility from Highway 99. Design is near complete, we have retained a general contract, and we expect to break ground on the project in the third quarter of this year. We are very excited to moving forward with this project, and we'll continue to provide updates on our quarterly earnings calls.  Lastly, the company's Board of Directors has declared a cash dividend of $0.25 per Class A common share, payable on June 28 to Class A shareholders of record as of June 14. The company is off to a strong start in 2024. And with the opening of Durango, we continue to validate our long-term growth strategy and demonstrate the power of our own development pipeline and real estate bank, which now consists of over 441 acres of developable land position in highly favorable areas across the Las Vegas Valley. This pipeline, coupled with our current best-in-class assets and locations, gives us an unparalleled glove story that will allow us to double the size of our portfolio and capitalize on the very favorable long-term demographic trends and the high barriers to entry that characterize the Las Vegas locals market.   We'd like to recognize and extend our thanks to all of our team members for their hard work. Our success starts with them, and they continue to be the primary reason why our guests return time after time. We'd also like to thank them for recently voting us a top casino employer in the Las Vegas Valley for the fourth consecutive year. We'd also like to make a special shout out to our Sunset Station team members for placing their trust in us. Finally, we thank our guests for their loyal support in each of the last 6 decades.   Operator, this concludes our prepared remarks today, and we are now ready to take questions. 
Operator: [Operator Instructions]. The first question today comes from Joe Greff with JPMorgan. 
Joseph Greff: Steve, I heard you on your comment about stability in the entire database, which is great. We thought maybe you have a proactive prepared comments about that in light of the comments from your peers and competitors. I was hoping maybe you can cut it a little bit differently and maybe if there's a way to sort of isolate is located for Red Rock cannibalization, but if you look at your higher-end properties versus that are more middle or lower price point properties, has that disparity widened within your portfolio? I mean, it's another way of, I guess, asking the low end versus the high end customer within the database, but maybe cut differently by property. 
Stephen Cootey: Well, generally, we kind of look at the customers as a Red Rock brand as they hop around from place to place, Joe. So let's start from there. But generally, what we're seeing is we like what we're seeing across the database from all players. So we're seeing stability.   From a Durango perspective, we've seen growth in the Durango zone, both from a net to perspective as well as visitation, which is consistent with our strategy from a new sign-ups perspective. We've had our highest growth in new sign-ups since the fourth quarter of 2021, including almost 37,000 people signing up at Durango, so we're bringing new customers into the brand. I don't know do you want too. 
Scott Kreeger: Yes, Joe, this is Scott. Maybe I can provide a little more detail. And as Steve said, we like to look at it from a brand level versus a property level. But when we kind of look at each segment in the database, we're encouraged by what we're seeing across all of those segments, inclusive of all of the demos. So not only are we up in wind, visits and spend for visit across our segments, but we're also seeing positive growth in all demos.   We saw our active database grow in the mid-teens percentage. And as Steve said, we saw a strong increase in new member sign-ups and -- sorry, Durango ended up being about 25% of that growth in the quarter. 
Stephen Cootey: And again, Joe, just to kind of articulate it, we're seeing that across all properties as well as Al demos to add to what Scott said. 
Lorenzo Fertitta: And we're seeing continued strong growth in our out-of-can business as well. 
Stephen Cootey: But Lorenzo, I will point out that... On the low end of the business, it's actually up for the last 2 quarters in a row. 
Lorenzo Fertitta: Yes. 
Joseph Greff: And okay. And what do you think is driving that lines that sort of maybe [indiscernible] either- what maybe others are experiencing potentially or kind of what maybe people on this call listening to you guys probably believe the opposite? What do you think is driving it? 
Scott Kreeger: So I think a lot of it has to do with the location of our properties. I mean, if you guys go and look at where all the growth in Las Vegas is occurring, in Summerlin West and the Southwest part of the valley where Durango is I mean they're growing at 2x to 3x what the growth rate of the city gets. So we have a little bit of a wind at our back with new customers coming online literally every month. 
Joseph Greff: Great. And then just a little follow-up to some of the comments you made before. You're not the only one with the sports book hold issues, but you said Super Bowl and NCAA weren't kind to you and you also referenced in general terms, Palestation, construction disruption as well as at Sunset Station. Are you to quantify maybe in the aggregate, what the EBITDA impact from those 3 items were in the quarter as we look at those as sort of onetime and not recurring in the future? 
Stephen Cootey: Yes. I mean sports -- it's sports for those particular events, it probably cost about $4.4 million for the quarter. In terms of disruption, as I mentioned in our script, that we expect some disruption to extend into Q2. So it's not a onetime event, but probably cost us, let's call it about $4 million all in. 
Operator: The next question comes from Carlo Santarelli with Deutsche Bank. 
Carlo Santarelli: I wanted to just more or less follow up on Joseph's questions. And I guess a different way of maybe asking is, if you took the subset of properties ex Red Rock, what's happening there in Durango and ex the 2 disrupted properties, Sunset and Palace Station. What is kind of the rest of the portfolio look like from a year-over-year perspective, whether if you could talk about that from a revenue EBITDA perspective, however you would approach it? 
Scott Kreeger: Yes, Carlo, this is Scott. I think probably the best way to categorize our feeling of our performance and where we're headed is that we see stability across all of our properties with a slight bit of upside. So we're seeing absent the disruption that that Steve spoke about a strong performance. We're pretty confident with where we're at right now. 
Carlo Santarelli: Okay. Great. And then just one quick follow-up. Corporate expenses tend to be a little bit higher in the first quarter. Is kind of that $18 million to $20 million a quarter for the rest of the year, a decent place. 
Stephen Cootey: Yes. I think I'd add more to the higher side. And we're looking to consolidate our warehousing. So one of the ups in this quarter was the warehouse coming online. 
Operator: The next question comes from Steve Wieczynski with Stifel. 
Steven Wieczynski: So Steve, you obviously talked a lot here about how you're still seeing the Las Vegas Valley, and it still seems pretty healthy in terms of consumer spending trends and Durango is clearly off to a very solid start. We've also heard from your competitors about the -- there has been a slight change in the promotional environment across the valley. It seems like there might be some competitors out there that are trying to more disrupt the market? And just wondering what you guys would say on that front. 
Scott Kreeger: Yes. This is Scott. I think I'd take it in 2 categories. One, the dynamic growth in the Valley that you can see not only in our investor deck, but even as recently as today, Arcline viewed Journal about the growth of the Vale and the inbound new residents bolstering our performance and our look forward.   I think when we talk about competition from our view, we're not seeing anything in the market that would change our strategy or we're not seeing anything in the market that we haven't seen over the last couple of years. We've said before that there are some one-off single operator properties within the local market that are competitively promotionary and have been, but we're not seeing anything out of the norm there. 
Steven Wieczynski: Okay. And then, Steve, you mentioned that Durango is up to already up to -- on pace to exceed your internal return projections. So this is somewhat of a hypothetical question. But as you guys start to think about additional projects down the road based on what you've seen so far at Durango, do you start to increase your return projections based on some of the -- maybe the learnings coming out of Durango -- or is Durango such a one-off type asset that its return profile might be totally different than anything else you do across the valley. And I hope that question makes sense. 
Stephen Cootey: Yes. I'm not sure we believe Durango is a one-off. We love the area. And as Scott mentioned, I think Lorenzo talked about, the enterprise district is growing about 3x faster than the rest of the Valley. That actually includes some of our other development properties, namely Cactus and Insparada. So in general, like I don't think anyone is more bullish on Las Vegas than we are.   I mean population continues to grow at a 2.3% clip. We're getting 38% of our residents from California in addition to population growth, you're actually seeing net income growing or discretionary income growing about 8% and expect it to continue that way through 2029. So we view all of our opportunities in special. We have 6 of them. I think the team right now is going through entitling and getting these properties ready. And right now, we're just enjoying the growth of Durango.   The team is doing a fantastic job really ratcheting down and making the property more efficient. And at the end of the day, we're looking forward to that property being one of our highest margin properties in the system and then getting returns they're at or in excess of what we've experienced in the past. And as I alluded to on the call, I think we're seeing that happening much quicker than 3-year time line that we've previously given guidance to. 
Lorenzo Fertitta: Yes. Stephen, go ahead. Saying kind of similar to what Steve said, but we remain confident that building out the portfolio of undeveloped land over the next 10 years, we're going to be able to kind of grow into that historical return on investment with what Steve is around 20-ish percent. 20% levered return on correct.   We're not saying that's going to happen year 1, but by year 3, we get there. I think what Steve obviously has said in his comments is that we're well on our way, maybe ahead of schedule a little bit on Durango. But when you look at the overall portfolio, we're still confident we can get to that 20% return on these greenfield projects. And we're not in a position to say that we think we're going to get more at this point, but we think that 20% return is pretty solid. So... 
Operator: The next question comes from David Katz with Jefferies. 
David Katz: Just to tap on to the end of that last discussion. I'm not sure that we got a ton of commentary about what's next. And I know that you have occasionally talked about looking at Durango, maybe Inspirada, maybe something else. Is there any update that you can share? Any thoughts you can share around what's next for Red Rock? 
Lorenzo Fertitta: I mean I think first up is going to be North Rork, probably around the end of the third quarter, beginning of the fourth quarter of this year. And then as we've always said, we are actively working on plans for an expansion at Durango, which will be in a position to go forward if we decide to by the end of the year or the beginning of next year. And then we're working on plans at Inspirada to have that in a position to make a decision when we want to go forward. And that -- those plans should be ready, what the run in. 
Scott Kreeger: I mean, we're finishing up all the entitlement and all the plans that we have costing on the project by the end of the year, and we'll be able to kind of... At that point... Communicated to everybody kind of what our timing is and what our budgets are.   In addition to that, we've seen that we've been able to generate great return on investment by reinvesting in our current existing portfolio through building high-limit areas for both tables and slots. We're really happy with the results there. We're definitely seeing the benefit of between Belly Ranch and Santa Fe as well as we talked about Red Rock in the past. So we're going to continue to focus on those as well.   I think part of the issue that we have here is in these projects in a place to where we have tight budgets type plans so we can get these things going is really what we're focused on right now. And we should have information for you guys on what we said for timing and budgets in the near future. So... 
Lorenzo Fertitta: Yes. And I think it would be interesting if anybody is out here in the next several months or whatever to take a look at the new race and sports book at Sunset, and we're going to open a yard house there. And it's really turned out. I think the customers are going to accept it and be really happy with time. 
Steven Wieczynski: I appreciate that. And if I can just follow up, is one of the potential for mutations sort of both expansion and Insparada. And does that sort of change steve any of the kind of leverage commentary? Or are those sort of happening at different times? 
Stephen Cootey: I mean what we're saying it's an option, I think, David, we're very cognizant of the balance sheet. And as we said, leverage is peaking has peaked, and we're looking to delever the balance sheet for that next stage of growth. 
Operator: The next question comes from Barry Jonas with Truist Securities. 
Barry Jonas: Wondering, are you still actively looking to sell any of your undeveloped land banks here? 
Scott Kreeger: Yes. This is Scott. So I think we're in the same position as we mentioned in the last call, where we have 2 pieces of land that are actively being marketed. One would be the Wawa Westin, which is essentially 100 acres of contiguous land just off the strip. And then there's a portion of our Cactus development site, which is a total of 128. There's about 40 acres of that site that is noncritical to what we want to do there. And so we've got that actively marketed as well. And then we do have a small entitled parcel in Reno as well, which if the right offer came about, we'd be interested in selling as well. 
Barry Jonas: Got it. Great. And then just as a follow-up, more clarification. I noticed in the deck, your convention and meeting space is 231,000 square feet. I think that's down like 8%, 9% from the last deck. So is that sort of 20,000 reduction or a function of construction or anything else? 
Scott Kreeger: We'll have to check. It shouldn't be down, Barry. 
Operator: The next question comes from Dan Polizer with Wells Fargo. 
Daniel Politzer: I know you guys had a couple of one-offs in the quarter that impacted margins a little bit. But as we think about that Durango contribution over time, I think you said that should be the most efficient margin property. So as we think about the coming quarters and the ramp of it, when do you think we might see that impact start to flow through? 
Frank Fertitta: I think it will be incremental over the remainder of the year, but you don't get it all at once. I think one of the great things that we were able to accomplish, which is very difficult, is have a very smooth opening at Durango and focused basically exclusively on the customer experience. And as business starts to settle in to what normal business levels or going to be by day of the week and time of the day, we're going to continue to refine operations, but I would say it will probably take towards the end of the year, really get it where we feel that it's going to be going forward. 
Scott Kreeger: Yes. And with that said, I mean, this is literally our first full quarter of operations. Yes. I mean the project is highly profitable, generating very high margins pretty much in line with the rest of our properties already. So as Frank said, as we really start to understand business volumes and whatnot, we can start to tweak margin and confident we'll get there by the end of the year. 
Daniel Politzer: Got it. And then just for my follow-up. I don't know if maybe you could talk about the cadence over the course of the quarter. We obviously got the industry numbers, and so it seems like things softened a bit over the course of the quarter. I don't know if that was what you guys saw in terms of your own operations, but any kind of reconciliation there? And then any detail, if you can, on April, just if that's been a continuation of that stability that you guys have kind of called out? 
Stephen Cootey: Yes, Dan, I think I'll address it and allow the others to add in. But I don't want to get into month by month, but we saw a stability across the quarter, and we're seeing that going in through April. I would say that March, the only real weakness there, as we already articulated there, you saw some weakness in raised Sports, which I think was universal across the strip mainly due to those 2 large events in the Supa and the NCAA term but otherwise, stability throughout the quarter. 
Operator: The next question comes from Chad Beynon with Macquarie. 
Chad Beynon: Wondering if you could revisit the topic of getting bigger or getting into the tavern business as a medium or long-term goal. Has anything changed in terms of how you're thinking about that? 
Scott Kreeger: It's Scott. Nothing has changed. We still think it's a great place to invest in. And for all the reasons that we talked about in the past that it's a unique customer with a different profile than our core customer. So it skews younger and skews towards the sports better. So we like that kind of a customer.   We have 7 units currently under contract. First one will come online in September. The second one will come online in December. And then we have 2 coming online in January and then the remainder of the units throughout 2025. So we're actively out there seeking to grow the number of units that we have in the market, and we think it's an opportunity for us to kind of expand into what we call the micro market within the Valley. 
Lorenzo Fertitta: And just Lorenzo, from a health standpoint, I know everybody is focused on different segments of the market at that end of the business, what we call kind of a smaller property seems to be very healthy and very consistent and actually grow. So as a sign relative, it's a very local market, but that is going very well from an operating standpoint. 
Chad Beynon: And then on the food and beverage side, I think that was a big standout in the quarter, just kind of the year-over-year growth, and I'm sure most of that or a lot of that growth came from Durango. Is this -- you made a comment about group bookings. Should this food and beverage revenue become more regular? Or is there still some significant seasonality around how we should think about that with different groups and weddings and those types of things? Just trying to figure out the magnitude of the growth that we saw and how that should look throughout the remainder of the year. 
Scott Kreeger: Yes, let me split it up into 2 segments, so that it's a little bit easier because they have a kind of a different behavior. When we talk about our retail food and beverage operations, I think you're going to continue to see strong performance across the properties we're bringing on great restaurant tours and great offerings across the valley. So we see that continuing.   When we look at catering, which is a function of group room nights and social catering, while we saw strong numbers across the first quarter, we have been kind of signaling that we're about to lap ourselves with COVID rebookings and COVID cancellation fees on a year-on-year basis. So this quarter, the second quarter and a little bit into the third quarter, we'll kind of trail off those difficult comps.   And then going forward, if I had to say anything that we have a little work to do, it's probably in the summer months, but then in the fourth quarter, it starts to pick back up for us. 
Operator: The next question comes from Brandt Montour with Barclays. 
Brandt Montour: So actually just one, but it's a bit of a 2-parter. I was curious, when you think about Phase 2 for Durango, which I probably remember correctly, is this something you planned alongside Phase 1. What have you learned months in, 6 months in here that may have made you want to tweak anything to Phase II? I know we don't know Phase II is yet, but maybe just qualitatively, has anything made you want to adjust those plans?   And then the second part of that is specifically around the F&B and the lease model, which you have in Durango, I mean we see these F&B results and how strong the segment is for you. Is there a thought to maybe convert or do any more of that F&B on an owned basis to capture those EBITDA dollars? Or how are you thinking about that? 
Lorenzo Fertitta: Yes. This is Lorenzo. I'll take a stab at that. As far as what we've learned after a few months of being open here, I think the biggest change potentially of what we thought prior to opening is that we need to solve for some additional parking before we get -- necessarily get into the Phase II, what we had originally planned, which is a good thing, by the way. we kind of use all of our historical metrics and what we had historically seen.   The volumes at peak period of Durango primarily partly driven by the success of the food hall and so were other restaurant offerings, we just need more parking. So we're working on a sale for that because we don't want to completely rip up the parking lot and do an expansion at the same time. So we're trying to figure out timing on that.   Relative to the success we have had on the food and beverage side, I think where we are is we want to just focus on what we think we do really well, which is run slot machines and table games and hotels and led expert to run restaurants, kind of run the restaurants. It's I think allows us to drive higher-margin business overall throughout the portfolio. And as we've learned from doing this for 35 years or however long it's been, restaurants are very difficult to run, and it's very challenging. And if we can find great operators to bring in and we're so focused, we'd much prefer to do that. 
Scott Kreeger: And Brad, just one kind of note. The F&B line item that you're seeing in the press release, that's our own and managed restaurants. The lease revenue that Lorenzo spoke to is going to fall in the other category. 
Operator: [Operator Instructions]. The next question comes from Joe Stauff with CIG. 
Joseph Stauff: I wanted to ask just maybe a broader question just on the locals market and all the migration and most of the migration coming from California and so forth. You're spending a lot of capital to build and expand sort of a premium product in the market. I think most of us understand what Boyd is doing. I wonder if you can comment on other competitors in the market. And are they trying to match you? Or are they staying with more low-cost model in terms of their approach in the Las Vegas market -- Las Vegas locals market.   And then, I wanted to ask, just specifically, you had a reference in one of your slides regarding Durango at $180 million plus. Does that imply that whether it be the parking lot and the expansion you're thinking about $100 million of capital invested at some point as you kind of greenlight those projects? 
Stephen Cootey: Yes, I think what you're talking about is the land side, and that was really just to show that the value creation that we get by purchasing rod dirt. And so -- as Frank and Lorenzo always said, well, we tend to get our greenfield return within 3 years. These assets don't stop at year 3, they continue to grow. So we just want to provide a metric to show that we plan to grow this asset beyond that 20% ROI. 
Frank Fertitta: We're basically trying to demonstrate the value of the gaming entitled Real Estate portfolio by developing projects. 
Stephen Cootey: But it doesn't include the garage. But Joe, it does kind of lead into -- that slide is probably a good segue into really your first question.  I can't really comment on what other competitors are doing, but we know what we're doing. Franklin runs for 40-plus years is focused on delivering the best-in-class assets and most importantly, the best-in-class locations. We live in a very regulated market. The local market is protected by SB208 which restricts the amount of gaming and title land that can come off the strip. And fortunately, and I think to these guys credit over the past 40 years, they've bought up pretty much every piece of gaming and title land that comes available.   And then no different -- and this is something that's built into our DNA, our Sky Cayan purchase and our Lose purchases. We continue to look for gaming title land that we view as potential developable resorts down in the future. So that's where it starts from us, and that's really where it ends. So locations, it's tough to repeat a location. There's only one -- once it's gone, it's gone. And right now, we feel we have the best of the 6 available. 
Lorenzo Fertitta: Yes, that's part of the value in the platform, right, is having the best locations and trying to project out where growth is going to happen, where the city's dynamics from a demographic standpoint are going to change over time and trying to be ahead 10, 20 years so that we're positioned. And I think that as we started really thinking about this in the late '90s, that's starting to pay off here kind of 20, 25 years later. We're starting to see the benefit of that. And that's why we're able to develop something like Durango get outsized returns.   And I think part of the reason for the deck that Steve had put together, as Frank mentioned, was just -- I think a lot of people think about our company say they have 500 acres of additional land, let's put a value per 300,000-acre $500,000 an acre. And what we're trying to demonstrate is that we are a development company. That's really what our core principles are, what we're capable of doing. And by taking a raw piece of dirt and converting that into an operating asset, we feel like that we're literally creating billions of dollars of value, for instance, in the case of a Durango.   So trying to think about what the future of this company holds and what the embedded growth in the company is all with opportunities that we own and control. And we can bring online whenever we want. They're not going away. So we think that there's a lot of value there. 
Frank Fertitta: Durango is performing great right out of the box, but there's like 4,500 new housing units planned or under construction currently in that ZIP code. And that's kind of the built-in growth that's going to continue to make Durango better and better and better. 
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Steve Cootey for any closing remarks. 
Stephen Cootey: Well, thank you, everyone, for joining the call today, and we look forward to talking to you about 90 days. Take care. 
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.